Operator: Good day, and thank you for standing by. Welcome to the CompoSecure Q1 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference call is being recorded. I would now like to hand the conference over to your speaker today, Sean Mansouri, CompoSecure’s External Director of Investor Relations. Please go ahead.
Sean Mansouri: Good evening, and thank you for joining us to review CompoSecure's first quarter 2023 financial results. With me on the call tonight is Jon Wilk, CompoSecure’s Chief Executive Officer; and Tim Fitzsimmons, Chief Financial Officer. They will begin with prepared remarks, and then we will open up the call for Q&A. During the call, we will make statements related to our business that may be considered forward-looking, including statements concerning our plans to execute on our growth strategy, and our ability to maintain existing and acquire new customers as well as other statements regarding our plans and prospects. Forward-looking statements may often be identified with words such as we expect, we anticipate or upcoming. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We undertake no obligation to update or revise these forward-looking statements. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to the information in our Annual Report on Form 10-K and other reports filed with the SEC, which are available on the Investor Relations section of our website at composecure.com and on the SEC's website at sec.gov. Please note that the discussion on today's call includes certain non-GAAP financial measures, including, adjusted EBITDA, adjusted net income and adjusted EPS. The company believes these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends impacting the company's financial condition and results of operations. These non-GAAP financial measures should not be considered as an alternative to net income or any other performance measures derived in accordance with U.S. GAAP and may be different from similarly titled non-GAAP measures used by other companies. A reconciliation of GAAP to non-GAAP measures is available in our press release and earnings presentation available on the Investor Relations section of our website. Thank you. And with that said, let me turn the call over to Jon, to discuss our first quarter results.
Jonathan Wilk: Thank you, Sean. Good evening, everyone, and thank you for joining us for our first quarter conference call. 2023 is off to a solid start following a record 2022. Demand for our premium metal cards remained strong, and we continue to execute on our sales, goals and objectives for both new and existing programs. Sentiment from our largest clients also remains positive as consumer and business spending has proven to be resilient despite the challenged macro environment. More to come on this later in the call. Now onto our key highlights from the first quarter on slide three. We achieved net sales of $95.3 million, which was up 13% versus last year, driven by strong sales execution and demand from traditional card issuers and fintechs for our premium payment cards. I'll expand on this in a few slides. We also reported net income of $10.7 million compared to $26.9 million in Q1 of '22. Net income in the first quarter was primarily impacted by non-cash expenses including $13.4 million related to the fair value of our warrants earnout consideration and derivative liabilities and $4 million of stock-based compensation. As a reminder, the fair value adjustments fluctuate quarter-to-quarter relative to our share price performance. When our stock price increases, our net income is inversely impacted by fair value adjustments. Year-to-date, our stock price was up more than 50% as of market close on May 1, 2023. Adjusted EBITDA came in at $35.5 million, up 6% year-over-year and we generated $25 million of operating cash flow in the quarter. In March, we were thrilled to announce the extension of our American Express contract to continue manufacturing their premium metal payment cards through July 2026. Looking at card issuer trends, our largest customers continue to report strong card acquisition growth and have indicated positive outlooks for 2023, while increasing investment in programs that drive customer acquisition, retention and spending. Regarding Arculus, we continue to invest in our platform as well as marketing to address the growing need for better multi-factor authentication as consumers, businesses and card issuers look to reduce fraud and protect identity and assets. As mentioned in our press release earlier today, we are reaffirming our guidance for 2023, which calls for net sales in the range of $400 million to $425 million with adjusted EBITDA ranging between a $145 million and a $155 million. Turning to slide four. On the left hand side, you'll see that our largest customers reported another solid quarter of 14% purchase volume growth. Although this growth has tempered over the past several quarters, it remains in the double digits. It's worth noting that these are year-over-year comps, so hitting double digit growth against the 30% comp in Q1 of '22 remains very impressive from our standpoint. Moving to the right side of the slide, American Express recently reported strong card acquisitions with a record $3.4 million new customers added, which translates to 13% year-over-year growth. Amex also increased marketing and business development spend by more than 20% year-over-year, which we believe speaks to their confidence for future card issuance volumes. This is all publicly available information, and we update this chart every quarter to provide insight into our customer's guidance. Moving on to slide five, which is data that informs our metal payment card business, issuers continue to offer elevated levels of incentives and rewards to acquire and retain customers. Some card issuer programs can amount to thousands of dollars of value in rewards and incentives. Metal payment card costs, only reflect the de-minimis portion associated with customer acquisition and retention costs, positioning our offering as a compelling and cost effective part of these continued investments in marketing programs. On slide six, you can see the U.S. consumer remains healthy and resilient. As mentioned, our partners continue to remain positive with many outlining continued marketing spend to drive resilient growth, and highlighting the lack of any notable consumer and small business pullback in the first quarter, despite slower macroeconomic growth. Moving on to our security and authentication solutions on slide seven. I want to spend some more time discussing the clear demand being signaled for more secure payment and authentication solutions. The amount of global debit and credit card fraud continues to set new records and is nearly four times the cost for each dollar of fraud loss. These dynamics are spurring meaningful demand for passwordless multi-factor authentication, including some combination of biometrics, pins and secure tokens. Industry experts anticipate this market will grow at a 17% CAGR through the end of the decade. If you flip to slide eight, you get a sense of the market opportunity for authentication, and the expected market growth over the next seven years. As you can see, the market opportunity for authentication solutions is tremendous, and we believe Arculus is the right solution at the right time to help address this growing need. Let me discuss that further. On slide nine, you can see how Arculus can deliver secure login or step-up verification, incorporating seamless multi-factor authentication to address the passwordless market I just outlined. Simply tapping your metal cards at the back of your phone, as another layer of security and authentication on top of providing a pin and/or biometric. We believe this added step should lead to both better customer security and a lower cost burden for issuers. On slide 10, we outlined some of the use cases for tapping your metal card to the back of your phone including strong customer authentication for customer service, authorizing high dollar transactions like Wire or Zelle transactions, authenticating a new device or turning Internet payments into card present transactions. On slide 11, you can see the broader solution set for Arculus that we have shared with you historically. Now, turning to some company highlights on slide 12. We continue to execute on our sales goals with multiple new program launches for both metal premium payment cards and Arculus. On the metal payment card side, Rocket Mortgage launched a new card created to make home buying easier and more accessible through everyday spending. H-E-B, a privately held supermarket chain in the Southwest, launched a metal card with cash back rewards and UMB is delivering a metal card for their private bank with cash rewards and incentives toward travel, just to highlight a few examples on this page. On the Arculus front, we continue to build market awareness for our B2B secure authentication and cold storage offerings, through industry trade shows and marketing campaigns. All said, these efforts have driven a solid pipeline of opportunities to name a few that are progressing well. Let me start with NBC Bank, to deliver a payment card with digital asset cold storage. Change Finance, which I've mentioned on previous calls, launched their self-custody hardware cold storage wallet powered by Arculus. And we've also seen Invesco, offer their cold storage wallet powered by Arculus for customers in Latin America. We've also made progress on the pilot with a major crypto exchange that I discussed on the prior call. From a B2C perspective, we commenced Arculus cold storage wallet sales in Canada, and we anticipate additional international availability including Australia and the UK in the coming months. We continue to technically enhance the Arculus platform for both B2B and B2C, this now includes being able to cryptographically support more than 10,000 coins. With that, I'll hand it over to Tim, to review our financials before returning for closing remarks.
Timothy Fitzsimmons: Thanks, Jon, and good evening everyone. I'll provide a more detailed overview of our Q1 2023 financial performance and then turn it back to Jon, before we open up the call for questions. Unless stated otherwise, all of the comparisons and various commentary is on a year-over-year basis. Net sales increased 13%, to $95.3 million compared to $84.2 million. As Jon mentioned, the increase was driven by strong sales execution and demand from traditional financial institutions as well as fintechs for our premium payment cards. Gross margin for the quarter was 56% compared to 58% in prior year. While this was due to higher material costs, it is in-line with our previously mentioned and long-term gross margin expectations are being in the mid-50% range. Net income was $10.7 million compared to $26.9 million. Net income in the first quarter of 2023 was impacted by non-cash expenses. Including $13.4 million related to the fair value of company's warrants, earnout consideration and derivative liabilities, which was driven by the improvement in our stock price. It also was impacted by $4 million of stock-based compensation. Adjusted EBITDA in Q1 was $35.5 million, up 6% compared to $33.3 million last year. And adjusted EBITDA margin in Q1 was 37% compared to 40% in the first quarter of 2022. The decrease in adjusted EBITDA margin was driven by lower gross margins and our continued investment in the Arculus business and building out infrastructure. Adjusted EBITDA includes the net expense investment in Arculus of $4.5 million. However, it excludes both the non-cash revaluation adjustments, which were driven by our strong stock price and stock compensation expense. Looking at the split between domestic and international, you can see we continue to have strong domestic sales, increasing 18% compared to the first quarter of 2022, to $74 million, again, due to the strength of our sales execution and favorable industry trends. International net sales for the first quarter of 2023, was $22 million returning to a roughly 20% mix and in-line with our long range view of this business. Turning to our balance sheet at March 31, 2023 which you'll find in the appendix. We continue to build our inventory stocks based on the strong demand we are seeing and to stay ahead of any supply chain issues. We have a track record of turning our inventory over 10 times each year, while the absolute value has grown. We had cash and cash equivalents of $23 million and total debt of $363 million which includes approximately $233 million of term loan, and a $130 million of exchangeable notes. This results in a total net debt of $340 million. We want to provide both our overall debt leverage and our bank agreement secured debt leverage as our bank agreement is calculated with slight differences. At March 31, our overall leverage ratio improved to 2.5 times based on a net debt of $340 million and trailing 12-month adjusted EBITDA of $138 million. This compares to 3.7 times at March 31, 2022 with the improvement driven by a combination of paying down debt and growing adjusted EBITDA. At March 31, 2023, we had a bank agreement secured debt leverage ratio of 1.6 times based on a total secured debt of $233 million and trailing 12-month adjusted bank EBITDA of $146 million. This compares to 2.5 times at March 31, 2022. Taking a look at our cash flow statement, as Jon mentioned, we generated operating cash flow of $25 million during the first quarter. We continue to believe our cash balances, cash flow generation and debt facilities provide us with more than enough adequate working capital to fund our operations. I want to turn now to earnings per share. As a reminder, our method under GAAP for calculating basic and diluted EPS allows us to allocate changes in adjustments of the mark-to-market instruments, among the public company and the operating subsidiaries, to better reflect the actual economic impact of conversion of such instruments, on the net income on a per share basis. Having said that, let me run through the EPS calculations. GAAP EPS for the three months ended March 31, 2023 was $0.13 per basic share, and $0.11 per diluted share. This compares to $0.23 per basic and diluted share in the year ago period. As I mentioned earlier, the decline was primarily attributable to a change in the fair value of our warrants, earnout consideration and derivative liabilities, which was driven by the appreciation in our stock price. You can read through the footnotes on the slide, that take you through the complexities of the allocation of net income due to the Up-C structure and the shares that are included in the basic and diluted calculations. Note that the fair value adjustments in the quarter have been allocated among the companies, to come to pre-allocation net income. Now, for non-GAAP earnings per share. On slide 17 and in our MD&A, we are also providing a non-GAAP adjusted net income and adjusted EPS, which excludes the impact of non-cash fair value adjustments on our warrants, earnout revaluation and stock comp. We believe that this provides a clearer picture of the economics of the company's operating results. Please note that these non-cash adjustments can have both a positive and a negative impact on net income. With that background, our non-GAAP EPS for Q1 2023 was $0.27 per basic share, and $0.23 per diluted share. This was flat compared to $0.27 per basic share, and $0.23 per diluted share in the year ago period. In the appendix, you'll find a reconciliation between the GAAP and non-GAAP net income used in these calculations. I'll now hand it back over to Jon for a final summary before we take questions.
Jonathan Wilk: Thanks, Tim. Now, turning to slide 18. As I mentioned earlier, we expect another year of solid growth in 2023 and we are reiterating our previously issued guidance, with net sales in the range of $400 million to $425 million, and adjusted EBITDA between a $145 million and a $155 million. As a reminder, these targets reflect the expectation of continued sales execution in our metal card business, as well as a net investment in Arculus at or below our net investment in 2022. In addition, this guidance takes into consideration some of the continuing uncertainty of the macroeconomic environment, and we continue to monitor these dynamics and our customers closely, and we believe we are well equipped to drive shareholder value. On slide 19, I want to end where I began. 2023 is off to a solid start following a record 2022. Demand for our premium metal cards remained strong, and we continue to execute on our sales goals and objectives for both new and existing programs. Sentiment from our largest clients also remains positive as consumer and business spending has proven to be resilient despite more challenging macro conditions. With Arculus, we are well-positioned to deliver enhanced security and cold storage solutions for businesses and millions of people around the world. The opportunity ahead is immense, and we will continue to innovate our product suite with a prudent approach to capital allocation, and driving efficiencies in our business to maximize the bottom line. Thank you all for your time today, and I look forward to your questions.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions]. Our first question comes from the line of John Todaro from Needham & Company. Your line is open, John.
John Todaro: Great. Thanks for taking my question. I just have one here, and that relates to Apple. So Apple, is pushing more into consumer finance. Just wanted to get some commentary from you guys, is there an increasing concern whether it's Apple Pay or some of the other products that challenge cards offerings, or is there actually an opportunity here to add Apple and some other similar companies as customers?
Jonathan Wilk: Thanks, John, for the question. I think as we think about the things that Apple is doing on the savings side, split that up between on the card side, what's been publicly disclosed is Goldman's losing a lot of money on that business at this point, struggling to sort of find their way. I think they have had some success on the savings side. We have not seen trends on the Apple Pay side that cause us any greater concern. It's something we monitor. But as I've said on these calls prior, we think cards are going to be around a long time and that view hasn't changed.
John Todaro: Great. Thanks so much, Jon.
Operator: Thank you. Our next question comes from the line of Reggie Smith from JPMorgan. Go ahead, Reggie.
Reggie Smith: Good evening, gentlemen. Congrats on the quarter. Two quick questions for me. First, I know you guys are stepping into some pretty difficult growth compares next quarter. And I was hoping you could shed some light on, I guess, kind of quarterly revenue cadence and maybe what the gross rate could look like the next few quarters. And then, secondarily, to that, you kind of moved to recognizing that potential strength in the financial markets and the banks, but I was curious how you are thinking about metal card growth longer term, you still see it as a double digit grower, and whether your view has moderated or changed in light of where we are on the cycle?
Jonathan Wilk: So, thanks for the question, Reggie. I'm going to take those in reverse order and just talk about kind of the macro overall and then address the revenue cadence. So, as we look at the macro overall, we tried in presentation to give some perspective on what we're seeing in the market based on publicly available data to help provide some sentiment, which is -- our view is that our clients and others still see strong purchase volume growth. They're still investing in card acquisition, and they're still looking at the kind of back half of the year fourth quarter, trying to understand what will unfold. But generally, as we looked at earnings releases, they all seemed generally positive on the growth that is important to us as a company. As we think about the revenue cadence, we haven't broken it down by quarter for you guys, Reggie, we've stuck to the $400 million to $425 million and you can begin to do some math, based on kind of where we are coming out of this quarter, at what the rest of the year could look like.
Reggie Smith: Got it. And so, I guess kind of assume similar seasonality to previous years is to take away there in terms of quarterly?
Jonathan Wilk: Yes, we don't see -- I think it's less seasonal for us, Reggie, more just related to timing of orders and deliveries and shipments and other things versus necessarily expecting a specific quarter to be up or down based on time of year.
Reggie Smith: Understood. If I could sneak two more in, and just to clarify, if I'm remembering correctly, most of your bank partners are kind of top 10 banks. I know top two, your two largest partners are pretty massive, but I guess I just wanted to frame, I guess, the potential regional bank for us. Like, I would imagine is pretty small piece of your business. Is that fair?
Jonathan Wilk: Yes, I want to actually address it even more directly if I could, Reggie. We have no direct exposure to kind of the banks that have been taken over, in that we have no deposit relationship. We have no lending relationship, but not in our lending facility and we have no outstanding receivables or card sales to any of those specific banks. In addition to that, your point is a fair one, which is, for better or worse our revenue is concentrated with larger players, Chase, American Express, Capital One and others. We've talked on prior calls about us opening up Wells Fargo as a new client as well. So yes, the smaller regional banks make up very small percentage. At the same time, we'd like to grow with them over time. But what's happening with those regional banks today is not impacting our business.
Reggie Smith: Understood. If I can get one more in and I promise this would be my last question. You highlighted a payment plus authentication, pilot that you're dealing with a crypto partner. I was just hoping you could kind of talk about what are the steps in that pilot and like how does that play out, when could it actually become like a real account or revenue contributor. If you follow my question, so like --
Jonathan Wilk: I do. Yes.
Reggie Smith: Timeline of how that plays out. Thank you.
Jonathan Wilk: Sure. And Reggie, thank you for the questions. We appreciate it. So, I just want to make sure I'm highlighting what it is again, which is, if you think about the crypto space, we play a lot in self custody or cold storage. The authentication capabilities actually let an exchange lock down their hot wallet. So, a customer instead of using a username and password to log in, would use our card in a combination of biometric or pin to log in and secure the hot wallet. And that's the pilot that we're ramping up. And for them, it is kind of ramping up the customer pilot being able to observe that data, and then rolling out further from there. I would suggest to you that, that will ramp up in the back half of the year. And we would anticipate if that goes well that the impact of that one would more be a 24 impact.
Reggie Smith: Got it. Thank you so much.
Operator: Thank you. Our next question comes from the line of Chase White from Compass Point Research & Trading. Go ahead, Chase.
Chase White: Thanks. So, a couple of questions. First of all, so what drove American Express's thinking in extending the contract, so early in the process? And in your experience, when would you generally expect to have something to report on the JPMorgan contract. Obviously, don't know exactly when, but just trying to get a sense of, when we could hear about that.
Jonathan Wilk: Yes. So, I'm going to reiterate, we're very pleased to extend the American Express contract through the middle of ‘26. There are a variety of reasons why some of our issuer partners look to extend contracts. I'm not going to comment specifically on this one. I apologize, but I'm not going to get more detail, but we're very pleased to have three and a half years, three and a quarter years remaining on that agreement. And we think it's a testament to the partnership that we have and really have had for over 20 years with American Express. With respect to the Chase agreement, I commented last time that for us, we look at that as renewing in the normal course of business. And I expect to have an update as we give you results perhaps next quarter.
Chase White: Got it. That's helpful. And then how should we think about, sort of the international -- the impact of the international expansion on the Arculus business, kind of in the near to intermediate term? And when should we start to think about starting to see the impact of the authentication use cases, outside of crypto cold storage in Arculus?
Jonathan Wilk: So, we think we're making progress on both sides in terms of some of the partnerships that we had announced in earlier quarters starting to get launched and ramp up, both on the cold storage and the authentication side. So, we'd hope to start to see progress on both towards the second half of the year. And we're pleased with the pipeline there, in terms of the opportunities that we're discussing, and we'll continue to update you guys on progress as we make it. Consistent with my comments, the level of investment and what we're doing there we said would be at or below the levels of last year, and our view is it's trending that way as we reported first quarter numbers.
Chase White: Got it. Thank you.
Jonathan Wilk: Thank you. Appreciate the question.
Operator: Thank you. Our next question comes from the line of how Hal Goetsch from B. Riley. Go ahead, Hal.
Hal Goetsch: Hi, good afternoon guys. I wanted to ask you about Arculus and your investment. I think you mentioned it's just over $4 million in the quarter, and some new partnerships were announced. But I wanted to gauge your traction in asking what -- if this just takes off if you get more product markets, if you get more traction, will there be a lessening of those losses an investment spend, or will investment spend have to ramp if traction improves? Just trying to figure out what is the direction of the drag if this success? And then what would you have to see also to hit a kill switch and reduce it even further?
Jonathan Wilk: Yes. So, Hal, thank you for the question and welcome to the calls. I'd say we anticipate the direction going down in terms of, the number that we give you so that I'm clear, is the net impact of revenue and investment. So, it's sort of the net of the two. We haven't broken out revenue. We haven't broken out expense. We're giving you the net of the two. And so, the net of the two last year being about $21 million, we said the net of those two this year will be less and we would hope to see that trending toward a lower number and positive over time.
Hal Goetsch: Okay. I could ask one follow-up. You mentioned like limited reasonable back exposure, but also wanted to do more business with them. And where are you at in discussions with larger regional banks and where are their heads at using metal cards to differentiate versus large national money center banks, and in credit card issuers like Capital One, which spent a tremendous amount of money on marketing.
Jonathan Wilk: Yes. So, when I've talked about domestic growth opportunities outside of Chase and Amex, I've talked about folks like Capital One, I've talked about folks like Bank of America, who is a client, but on the smaller side, we think there's still tremendous opportunity, Wells Fargo, who we've opened up as a new client. And then yes, to your point, there are a whole set of regional banks, that while today aren't a huge part of our business, we think have potential over time. And when I say over time, my point there isn't that we think what's going on there will impact this year's performance. As we look out a number of years, Hal, we'd like to see more of those banks as clients. Today, we do business with folks like U.S. Bank, and there are a handful of others that we would put in that list, and we'd like to see that grow over time. And add that on to the international growth story, our growth story with fintechs, and we think those come together to complement the overall growth that we've been able to deliver in the market.
Hal Goetsch: Okay. Yes. Thank you very much.
Jonathan Wilk: Thank you. Appreciate it.
Operator: Thank you for your questions. I would now like to turn it back to Jon Wilk, for closing remarks.
Jonathan Wilk: Thanks, operator. We appreciate the time this evening, and hope everyone has a good night. Thank you.